Operator: Ladies and gentlemen, thank you for standing by and welcome to the Solid Biosciences Update Call. At this time all participants are in a listen-only mode. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Tim Palmer, Corporate Communications Manager at Solid Biosciences. Sir, you may begin.
Tim Palmer: Good morning, thank you operator. Before we get started, I would like to remind everyone that during this conference call, we may make forward looking statements, including statements about the company’s financial results, financial guidance, future business strategies and operations and product development and regulatory progress, including statements about the ongoing IGNITE DMD clinical trial. Actual results could differ materially from those discussed in these forward-looking statements due to a number of important factors, including uncertainty inherent in the clinical development and regulatory process, the extent and duration of the impact of the COVID-19 pandemic and other risks described in the Risk Factors section of our most recently filed Annual Report on Form 10-K and other periodic reports filed with the SEC. We undertake no obligation to update any forward-looking statements after the date of this call. With me on today’s call are Ilan Ganot, Co-Founder, President and Chief Executive Officer of Solid Biosciences; Dr. Joel Schneider, our Chief Operating Officer; Dr. Cathryn Clary, our Acting Chief Medical Officer; and Carl Morris, our Chief Scientific Officer. For opening remarks, I’d like to turn the call over to Ilan Ganot, Ilan?
Ilan Ganot: Thank you, Tim. Good morning and thank you also joining us today. The focus on today’s call is to provide an update on our current corporate activities as we continue progress along our 2021 corporate goals and what our progress means for patients with Duchenne muscular dystrophy. First, we provide an update on dosing in IGNITE DMD. Two patients were dosed this quarter in IGNITE DMD using SGT-001 produced with our improved manufacturing process and under an amended clinical protocol. As previously reported Patient 7 has been dosed safely and continues to do well. Today, we are reporting on an additional patient dosed, Patient 8 experienced a serious adverse event or SAE, but has since been discharged, and as of the patients 30-day follow-up visits lab values have either returned to normal or continue to trade to trend towards normal. In the moment, Dr. Cathryn Clary will review this SAE and the steps we are taking to evaluate its course. Following Cathryn’s review of the patient dosing, Dr. Carl Morris will present on encouraging long-term biopsy data collected from the first three patients dosed at the 2E14 vg/kg dose. Carl also be presenting this data later today at the American Society of Gene and Cell Therapy Annual Meeting. The data provide evidence of sustained microdystrophin expression for 12 months to 24 months dose dosing in our potentially supportive of the recently reported positive trends in clinical biomarker and functional data from the IGNITE DMD study. To our knowledge IGNITE DMD is the first Duchenne gene therapy trial to show durable microdystrophin expression out to 24 months. In conjunction with our growing clinical experience, we believe that the totality of the clinical data will establish a risk benefit profile for SGT-001 that will be meaningful to patients with Duchenne. Today Dr. Joel Schneider, Solid’s Chief Operating Officer, will share, we are also providing an update on our preclinical pipeline, which includes the nomination of SGT-003 program is our next development candidate and an update on our ongoing collaboration with Ultragenyx. SGT-003 will combine a novel capsid and our proprietary microdystrophin construct to enable a next generation gene therapy for Duchenne with enhanced delivery to muscle cells. Data from our novel captured program have also being presented at ASGCT. I’m pleased with our progress on all these fronts. As we continue to generate additional evidence to support the long-term potential of SGT-001 while expanding our pipeline of differentiated gene therapies. I’ll now turn the call over to Cathryn who will briefly review our clinical update and the steps we are taking as we progress the SGT-001 program.
Cathryn Clary: Thank you, Ilan. As we reported in March, we resumed enrollment in IGNITE DMD and if subsequently dosed two patients under our amended clinical protocol. As a reminder, we’re working closely with our Data Safety Monitoring Board or DSMB to carefully review all the data generated with a built-in waiting period of 45 days minimum between each dosing. We also previously reported the Patient 7 dosed at the 2E14 vg/kg was dosed uneventfully and continue to do well. As we do with all patients, we are continuing to monitor this patient and we’ll be collecting additional data throughout the year. Today, we’re sharing the Patient 8, experienced an inflammatory response, which was classified as a serious adverse event and considered by the investigator to be drug related. This event is described in our investigators brochure and is not considered unexpected. As of the patient’s 30-day follow-up visit laboratory values had either returned to normal or continue to trend towards normal. We shared the data related to this SAE with the FDA and also the IGNITE DSMB and are working closely both internally, as well as with external experts to further our understanding of the outcome of this dosing and how it may impact our clinical strategy moving forward. While we already had a minimum built-in waiting period of 45 days between dosing Patients 8 and 9, the complexity of this event requires us to carefully analyze all the data before continuing to dose additional patients in IGNITE DMD. This will allow us to determine what, if any changes we might make to the clinical protocol to further enhance patient safety, which is always our top priority. I’ll now turn the call over to Carl who will review the long-term biopsy data from Patients 4 to 6, which we believe support the potential of SGT-001 to provide benefit to patients with Duchenne. Carl?
Carl Morris: Thank you, Cathryn. Today, I’m excited to share our analysis of the long-term biopsy data from Patients 4 to 6, which provide compelling evidence that a single dose of SGT-001 at the 2E14 vg/kg dose leads to sustained expression of proprietary microdystrophin construct containing the neuronal Nitric Oxide Synthase or nNOS binding domain for up to 24 months post dosing. The muscle biopsies were collected from patients 4 to 6 and taken at 24, 18 and 12 months, respectively post dosing of SGT-001. The each patient, the baseline and the last time biopsies were taken from the right quadriceps, while the day 90 sample was acquired from the left quadricep muscle. Over the next few slides, I will share with you, immunofluorescence and Western Blot data from the long-term biopsies that demonstrate microdystrophin expression remains comparable to the levels observed in the day-90 biopsies, but all three patients at this high dose. I will then walk you through results, highlighting microdystrophin protein function, through the co-localization of a dystrophin associated protein beta-sarcoglycan, as well as nNOS. Finally, we’ll look at some morphological analysis of the muscle biopsies that demonstrate overall only minimal muscle deterioration since the day-90 time points with mild active destructive pathology observed in the long-term biopsies. Collectively these data are potentially supportive of the positive trends in the clinical biomarker and functional data, which we shared in March. Slide 7 shows, immunofluorescence results from Patients 4 through 6 at baseline day 90. And at their last time point, as we previously shared the 90 day biopsies shared microdystrophin positive fibers in all three patients that weren’t seen in the baseline samples, the longer-term data that we are reporting today, so the proportion of microdystrophin and positive fibers is maintained for up to 24 months. Specifically, Patient 4 has 10% to 30% positive fibers at 24 months. Patient 5 has seemed to have 85% positive fibers at 18 months, while Patients 6 shows 50% to 60% positive muscle fibers at 12 months post dosing. On Slide 8, we showed Western Blot data collected for Patients 4 and 5 in the top panel and then Patient 6 in the bottom panel. As shown in the table on the right hand side, patients for microdystrophin level remains below the level of quantitation of 5% of normal dystrophin, but it’s still detectable out to 24 months. Patient 5 microdystrophin level is seemed to be 69.8% of normal at 18 months compared to 17.5% at day 90. For Patient 6, an average level of 20.3% of normal was found at 12 months post dosing compared to 8% at day 90. Slide 9 summarizes the microdystrophin expression as assessed by Western Blot and IF of the three 2E14 vg/kg patients for up to two years post dose. The figure on the upper left shows a Western Blot, I mentioned on the last slide, interestingly, you can see there is an apparent increase in microdystrophin expression for both Patients 5 and 6, that both had quantifiable levels at three months while Patient 4 microdystrophin expression remains clearly detectable, but below the level of quantitation of 5%. On the right hand side, we’ve shown the immunofluorescence results from our validated automated analysis. The results are a measurement of stable, persistent, microdystrophin positive muscle fibers out to the 24-month time point. They remain comparable to the levels seen in the day 90 samples. Switching to additional functional analysis of the biopsies, we observed restoration of dystrophin associated proteins to the muscle cell membrane and show co-localization in microdystrophin and positive muscle fibers. The column on the left says, microdystrophin in red, middle column shows beta-sarcoglycan in green, while the right column shows these two images merged with the co-localized proteins appear in yellow. As you can see these two proteins co-localize to the membrane, cell membrane, which demonstrates the capacity of our microdystrophin to recruit dystrophin associated proteins to the muscle sarcolemma. On Slide 11, we show a simple analysis looking at nNOS activity and localization to the muscle membrane. Again, microdystrophin has shown in red on the left while the right panel shows nNOS activity using an enzymatic stain as indicated by dark purple staining at the muscle cell membrane. These results demonstrate both nNOS activity and as localization to the muscle membrane aligning with the expression of our microdystrophin protein. The continued nNOS activity observed in these long-term biopsies provides additional evidence of durable functionality about microdystrophin construct. The next slide shows histological staining of the muscle biopsies from each patient at baseline 90 days and 12 months to 24 months. Although these muscle biopsy showed variable degrees of dystrophic pathology is encouraging to see limited disease progression between baseline out to the long-term time point, and out to two years only mild active dystrophic changes in muscle pathology have observed, supporting the role of microdystrophin and slowing progression of muscle loss. So, overall these new results from the long-term biopsies are encouraging as they demonstrate persistent and potentially increased microdystrophin expression between 90 days and out to 12 months to 24 months. The minimal progression of muscle deterioration since the baseline provides potential support for the recently reported positive trends and the clinical biomarker and functional data from the IGNITE DMD as summarized on the previously reported efficacy heat map. As Ilan noted at the start of the call, I’ll be presenting these data at 1:45 p.m. today at the ASGCT Conference, my full presentation will be posted to the Solid Biosciences website once my talk is complete. Now, I’ll turn it over to Joel for an update on the preclinical pipeline.
Joel Schneider: Thanks Carl. It’s a growing body of evidence supporting the potential for SGT-001 to provide benefit to patients with Duchenne is very encouraging, and we look forward to generating more data for this program. As we dose additional patients in IGNITE DMD, while advancing SGT-001 remains our priority. We continue to explore new and innovative ways to improve outcomes for patients with Duchenne and to potentially address the needs of patients with other musculoskeletal disorders. Toward that end, we have been actively evaluating a library of novel rationally designed AAV9 based capsids. Today we are announcing our next generation Duchenne microdystrophin gene transfer program called SGT-003. This program is an internally developed preclinical asset that leverages our broad expertise in gene therapy and muscle biology. Data presented at the ASGCT Meeting by Dr. Jennifer Green demonstrate that we have successfully developed a library of novel capsids with increased muscle tropism that corresponds with decreases in liver by distribution and drive improved efficiency compared with AAV9 in various in vitro and in vivo models. SGT-003 is a preclinical candidate that combines a novel capsid designed to enhance delivery to muscles with our proprietary and nNOS containing microdystrophin. We are currently conducting lead optimization for SGT-003. And we look forward to sharing additional data with you as this program advances with the potential timeline to the clinic in approximately 18 months. This slide summarizes data from a dose response study, exploring AAV9 alongside capsid candidate SLB101. As you can see at all, doses are novel capsid led to increase by distribution and ultimately microdystrophin expression. We will then provide additional program and pipeline updates as we progress SGT-003, as well as other candidates, which leverage our strong internal research capabilities. In addition to our internal research and development efforts, we also have the collaboration with Ultragenyx to explore other next generation opportunities to develop additional Duchenne gene therapies. The companies have been collaborating to optimize candidate vectors that leverage our nNOS containing microdystrophin constructs with an AAV8 light capsid within the Ultragenyx HeLa producer cell line manufacturing approach. I am pleased to share that this is a very productive collaboration that has leveraged each company’s expertise and resources. Ultragenyx is leading efforts around vector construction, optimization and creation of the HeLa producer cell line and in vitro and in vivo screening of the novel vectors has been expedited by routing expression analytics through Solid’s research team and leveraging our established assets. We expect to provide an update on this program by the end of 2021. As a company committed to improving outcomes for patients with Duchenne, we believe that having multiple ways to deliver our proprietary microdystrophin constructs enhances our ability to make meaningful differences in these patients’ lives. And we are excited to expand our pipeline with additional opportunities. I will now turn to our Q1, 2021 financials. Earlier today, we filed our Form 10-Q for the quarter ended March 31, 2021, which contains detailed financial results. And it’s available on the Solid website. Although I’m not going to review our detailed results during today’s call. I do want to highlight that during the first quarter of 2021, we closed the public offering, including the full exercise of the overallotment option resulting in gross proceeds of approximately $143.8 million before deducting underwriting discounts, commissions and offering expenses. This financing has further strengthened our balance sheet, and we ended the quarter with $268.5 million in cash and cash equivalents. We expect that our cash and cash equivalents will enable us to find our operating expenses into the fourth quarter of 2022. And I’ll now turn the call back to Ilan for closing remarks.
Ilan Ganot: Thanks, Joel, Carl and Cathryn. Before we take your questions, I want to take a moment to review our 2021 priorities and anticipated milestones. As previously announced, we successfully achieved our first quarter 2021 milestones, and as Joel just discussed today, we are expanding our pipeline with SGT-003. We remain on track to present additional 90 day biopsy data in the second half of this year from Patients 7 and 8, who were recently dosed. The long-term biopsy results we presented today are encouraging and further increase our confidence in our technologies, in our team and strategies for making gene therapy, a reality for patients with Duchenne. I’ll close by reiterating our commitment to the Duchenne community and to working every day to advance therapies that improve their lives and address the challenges of this horrible disease. This commitment for obvious reasons is a deeply personal one for me, what makes Solid such a special company is that every one of our employees is as committed as I am. And we see these boys with Duchenne for who they are today. Kids just want to go out and have fun with their friends. We also know what the future holds for them without them effective therapy. And what inspires all of us at Solid every day is the prospect of giving them a different future. This commitment is what guides us through the challenges and drives us to build on our successes. We send the Duchenne community, our employees, and our investors for the continued support and dedication to our shared mission. I look forward to updating you as we continue to make progress in our clinical and preclinical programs. We’ll now take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Joseph Schwartz with SVB Leerink.
Joseph Schwartz: Everyone congrats on all the progress. My first question is on the longer-term expression data, which it’s encouraging to see those delayed kinetics and it seems like they correspond or correlate most closely to six minute walk in SEC clinical benefits as opposed to NSAA. So I was just wondering, how are you thinking about being able to take advantage of this observation, if you agree with that and try to establish whether these clinical end points or a composite of these with or without NSAA might improve the chances to get a microdystrophin gene therapy, such as SGT-001 or three across the goal line with the FDA.
Ilan Ganot: Great question, Joe. Good to hear from you on, I think Carl will start and Cathryn will finish.
Carl Morris: Yes, pretty good that you picked that up so quickly. Yes. There seems to be an apparent correlation, but it’s an out of three, and as, you can sort of make any associations you, like. I think by encouraged by the data overall there is variability, expected in these biological assays. We took different muscles from different – at different time points. So, but we are sort of quite sort of happy about it. It’s not unexpected or that we would see an increase in expression over time. But we need to get more data from all patients to really sort of start trying to look at specific relationships. I’ll turn it over to Cathryn to talk about the clinical trial and how we might be thinking, based on that.
Cathryn Clary: Sure. Yes. Thanks a lot for the question. We were certainly very encouraged by these long-term results. And I think you asked the question which really gets to the heart of what we’re thinking about as a company, in terms of designing our registration trial. How do we, which outcome measures do we use? How can we find the most robust way to measure functional benefit in patients in such a heterogeneous disease? And as Carl said, this is a small data set so far, but we’re encouraged by it. We – it’s a bit early to start doing correlation analysis, although we’re certainly thinking about that and we look forward to getting the data on our two additional patients and others so that we can make those decisions.
Joseph Schwartz: Okay, great. I can appreciate that. And then as far as dosing, additional patients in the future, I was just wondering, what does that path look like for you from here? And could you characterize the SAE, which I heard you say was not unexpected, but had some complexity was this triggered by lab and or clinical findings? What can you tell us about the last patient to be treated with SGT-001?
Ilan Ganot: Cathryn, you can keep going.
Cathryn Clary: Sure. I’ll just keep going yes. So, as I said, the patient had an inflammatory response with elements similar to some of our other patients, which is why it was not unexpected, however the severity of the events was less severe than patient fix. We still are really looking at all the components of it from a casualty perspective. The patient course, we’re working both internally and with external experts to fully understand it so that we can move forward in a way that will ensure patient safety. You asked about the past dose in patients. We are working of course, with our DSMB, they reviewed the case, and we’ll be going back to them with the results of our investigation. And they will need to approve dosing the next patient, we already built in a minimum of 45 days between Patients 8 and 9. So, while we can’t speculate on exactly when we’ll dose Patient 9, and then already there was going to be a bit of a delay, and then we’re working with FDA as well.
Joseph Schwartz: Thank you very much.
Operator: And your next question comes from the line of Gena Wang with Barclays.
Gena Wang: Thank you for taking my questions. I have three questions. The first one was to regarding the Patient 8 inflammatory response. Just wondering, any additional color you can give regarding this patient. You did present at the ASGCT, showing the zero positive AAV9 is related to complement activation. And I think of Pfizer also, shared some additional color on their safety understanding of the safety. So, if you can give a little bit more color on this patient and what exactly that inflammatory response was and what kind of baseline characteristics from this patient with zero positive also, the platelet count [ph], any other information you can give? That’s the first question. My second question is regarding the SLB101. Did you test in non-human primates? What is the safety look like in non-human primates and also, which backbone was for – was derived for SLB101. My last question is more the future direction, you do have your own internal SGT-003, but you also a real collaboration, how do you prioritize? Do you see this as an internal competition?
Ilan Ganot: Awesome questions, Gena. I think we’re going to start with Cathryn to talk a little bit about the SAE and then she can hand it over to Carl to finish that off and then talk about SLB101. And I’ll talk about the priorities at the end.
Cathryn Clary: Thank you, Gena for the question. So as, I mentioned, patient aid did have an inflammatory response with elements that were similar to what we had seen in some of the other patients you asked about compliment activation. It’s an interesting compliment activation is part of the innate immune response, and we’ve actually seen laboratory evidence of compliment activation in all eight of our treated patients. Patient 7 had as we reported before, had some compliment activation in lab but did not, it was lower than what we had seen in some other patients. We’re still really evaluating the elements of Patient 8. Every patient appears to be somewhat different and we haven’t really identified a common factor with our SAEs, but we’re still examining certain elements of it. And we will, once we see the results of that investigation are done, we can provide some additional information.
Carl Morris: And hi, this is Carl. So, yes, and the ASGCT place there has been is highlighting that’s in the presence of antibodies AAV and it doesn’t matter if it’s AAV9 or AAV8, we will share both can activate the complement system. So, we think this is an effect that will be seen, through, within different programs. So, I think we’re getting a better handle on it. And other companies are seeing that as well. Regarding SLB101 and SGT-003 the capsid is derived from some rational design that we did internally. So rather than going through a computational analysis, like a number of companies we sort of went from the other way and looked at using our muscle expertise to, I think about how best to target muscles specifically. And we identified a number of capsids that look promising. It’s very early on in the plan. And we’re still in sort of lead optimization right now. So, we haven’t sort of finalized that the candidate, but we planted it to be moving into IND-enabling studies as soon as possible. Once we’ve identified, there’s a specific capsid and specific transgene as well that we’re using. So, I’ll pass it back to Ilan.
Ilan Ganot:
,:
Gena Wang: Thank you very much.
Ilan Ganot: Thank you, Gena.
Operator: And your next question comes from the line of Salveen Richter with Goldman Sachs.
Unidentified Analyst: Hi, thanks so much for taking our question. This is Sonia on for Salveen. So, I know you’re currently evaluating what caused the information in Patient 8? Do you happen to have any initial hypothesis on why that might’ve happened? And then our second question was just when are we going to see any additional functional data from Patients 7 and 8? Thank you.
Ilan Ganot: Hey, thank you, Sonia. Cathryn?
Cathryn Clary: So thanks very much for the question. So we really, I don’t want to speculate right now on causality because we are looking at several things. As we reported, our principal investigator did deem the event to be drug related. And it does have some elements that are similar to our other patients that less severe than we saw in Patient 6 and Patient 7 of course dosed under our new protocol had a very safe dosing. So, we’re evaluating a number of different factors. And as I said before, we’ll definitely get back to you when we have a better handle on exactly what happened and what some of the causes were. In terms of the functional data, Patient 7 is approaching a 90 day visit. It’ll be a while. We don’t really look at functional data at 90 days or reported because of the steroids still ingrained in the system. So, there’ll be a while before there’ll be additional functional data. And we haven’t actually guided to that.
Operator: [Operator Instructions] Your next question comes from the line of Gbola Amusa with Chardan.
Gbola Amusa: Hi. Thanks for taking my call. Just wanted to – a couple questions about the long-term data on Patients 4 to 6, it’s pretty noteworthy stuff. And I know it’s an equals three there’s variability in assays, et cetera, et cetera. So, we can’t make easy conclusions. But could you update us on any hypothesis you might have on what factors could be a play that create a difference for what you see in Patient 4 versus Patient 5 and Patient 6. And then is there anything that you can do going forward to encourage results that are more like dosing in Patients 5 and 6? And again, I know it’s early days.
Ilan Ganot: Hey, Gbola, it’s good to have you. This is Carl’s question. I know, because I asked him that to him two days ago.
Carl Morris: Yes. We just got these – we just sort of pulled these data in and started analyzing very recently. So it is very early, but we do have a confidence in our assays and given that we’re seeing good results from all these different set of [indiscernible] type assays, it does look – it’s very encouraging. This dose is sort of a good dose and we’re generating improved responses overtime. It’s not unexpected, I guess, if you think about – they’re just sort of continued production of a time and then finding sort of more spaces to fill in on the membrane and stabilize the overall muscle. So it’s very encouraging. We’ve got to obviously spend a lot of time thinking about mechanisms to look at this. Patient 4 started unfortunately, like with all drug trials, you have responders, non-responders and unfortunately Patient 4 was not as – had lower levels and below the level of quantitation, still very detectable levels. So there may be some threshold effect here that we are just not aware of. But importantly, Patient 4 did see a trend in functional improvements that we presented back in March. So, I think even with less than 5%, there’s sort of really promising results coming out. The overall set of increase is something that we’re definitely going to be looking into.
Ilan Ganot: I would just add, Gbola – I’ll just add that this notion of long-term durability, we got a little lucky here, because it was supposed to all be one year biopsy that ended up being delayed because of COVID. And because clinics were closed, patients couldn’t show up the one year visit ends up being a year later, and now we have two year data. I think when you think about gene therapies, you obviously do all the time, the notion of duration, the notion of continued or even improved durability is clearly going to feature. And in a disease like Duchenne, that is so hard to measure the functional outcomes. I’d like to hope that such biomarkers are going to provide us with a lot of confidence that this is not something that just disappears after three or six months.
Gbola Amusa: Got it. And just another one really quickly. I think earlier in the call phone referred to delay kinetics and I know we had seen that elsewhere in the AAV space. But the magnitude of change seems greater here for Solid and I know it’s apples to oranges and equals three, et cetera, et cetera. But what’s the state of art biological reasons why there might be delayed kinetics, or is there a reason an explanation that we can sort of watch on to feel like maybe this isn’t real phenomenon going forward?
Ilan Ganot: Gbola, I’d love to talk to you for a while about this. But if the muscle becomes more stable, instead of healthy, healthier there may be sort of a more consistent production of protein production that’s occurring. More myonuclei being fused in as the muscle can grow and build. And therefore, every time we get a positive – SGT-001 positive nuclei in there, it could produce more protein. Again, it’s all speculation there. There’s kinetically, we generally see stabilization after about 28 days in our pre-clinical models with sort of – continued that very slow increases. So, we do see a doubling in patients, an apparent doubling Patient 6 and a threefold in Patient 5, again, a parent. So, we don’t know that there could be other things happening. And actually importantly, someone asked about age, and could age be a factor, a patient fall was older. We really have not but patient’s fall was about 11 years of age. So that’s something that we really need to be thinking about as we move forward.
Operator: And your next question comes from the line of Maneka Mirchandaney with Evercore.
Maneka Mirchandaney: Great. Thanks for taking the question. Based on what you’re seeing for Patient 8, do you think there are any additional potential changes in the protocol that might be able to further decrease the risk of these inflammatory events, like changes in the dose of the immunosuppressive drugs or timing or other factors, and what might that look like? Thanks.
Joel Schneider: I mean, first, obviously, Cathryn will take it. But I just want to make that, again, we learned so much from every patient. And the idea here is to identify a long-term solution to a pretty serious problem. And I feel that if things need to be tweaked that that’s a great thing and hopefully alive at a very happy place at the end and other companies are hopefully doing the same. And I’ll have Cathryn out, if she’s got some.
Cathryn Clary: Sure, thanks, Maneka. I mean, it’s such an important question. And obviously, safety is really our first concern with these patients and the – I mean, they’re really, probably one of the biggest questions we are grappling with right now is to understand the events so that we can potentially modify the risk mitigation profile in a way that we think will optimize safety. And we’re still really in the middle of that investigation, including consulting with some external consultants who are experts in this area. So, we don’t really have – I can’t really tell you what our hypothesis is at this point, because we’re still really exploring different options. But we will certainly share that with you. If and when we do decide to make protocol changes, and of course, those will need to be approved by our DSMB and shared with FDA as well. I think you also asked the question about, is that the doses and that is one of the things we’re looking at, is dosing, but potentially, other options.
Operator: Thank you. Your next question comes from the line of Anupam Rama with JPMorgan.
Anupam Rama: Hi guys. Thanks so much for taking the question. Just a clarification question here, has the patient SAE and sort of clinical profile of this patient being shared with FDA and the DSMB, and what are the timelines for feedback from both of those groups?
Ilan Ganot: Hi, Anupam. Absolutely, we shared with the FDA and with the DSMB and we have ongoing dialogues. We are not really able to project timelines, but have been shared and discussed.
Anupam Rama: Got it. Thanks so much for taking our questions.
Operator: And at this time, there are no further audio questions. Are there any closing remarks?
Ilan Ganot: I mean, look, thanks everybody for dialing in. And have a great weekend. And we look forward to talking again soon. Thank you.
Operator: Thank you. This concludes today’s conference call. Thank you for your participation. You may now disconnect.